Operator: Good morning, and welcome to the Ormat Technologies' Second Quarter 2023 Earnings Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Alec Steinberg with Alpha IR. Please go ahead.
Alec Steinberg: Thank you, operator. Hosting the call today are Doron Blachar, Chief Executive Officer; Assi Ginzburg, Chief Financial Officer; and Smadar Lavi, Vice President of Investor Relations and ESG Planning and Reporting. Before beginning, we'd like to remind you that the information provided during this call may contain forward-looking statements, relating to current expectations, estimates, forecasts and projections about future events that are forward-looking as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements generally relate to the company's plans, objectives, and expectations for future operations, and are based on management's current estimates and projections, future results or trends. Actual future results may differ materially from those projected as a result of certain risks and uncertainties. For a discussion of such risks and uncertainties, please see risk factors as described in Ormat Technologies' annual reports on Form 10-K and quarterly reports on Form 10-Q that are filed with the SEC. In addition, during the call, the company will present non-GAAP financial measures, such as adjusted EBITDA. Reconciliations to the most directly comparable GAAP measures and management reasons for presenting such information is set forth in the press release that was issued last night, as well as in the slides posted on the website. Because these measures are not calculated in accordance with GAAP, they should not be considered in isolation from the financial statements prepared in accordance with GAAP. Before I turn the call over to management, I would like to remind everyone that a slide presentation accompanying this call may be accessed on the company's website at ormat.com under the presentation link that's found in the Investor Relations tab. With all that said, I would now like to turn the call over to Doron Blachar. Doron, the call is all yours.
Doron Blachar: Thank you, Alec, and good morning, everyone. Thank you for joining us today. In the second quarter, we delivered strong financial results and healthy earnings growth while making several portfolio expansion to drive continued revenue and profitable growth. Asset development is a strategic focus for us as we enhance existing projects, while also commencing operations and achieving commercial operations across our electricity, generation, and energy storage portfolio. This quarter, we commenced operations of approximately 100 megawatts in geothermal, solar, and energy storage assets. We are encouraged by the initial results we're seeing in our drilling campaigns in Olkaria and Puna, and we expect to see an increase in generation by year-end at both power plants. Our Products segment has displayed a notable recovery in revenues, resulting in significant margin expansion and revenue growth for the segment. In the Electricity segment, we successfully commenced construction of a 50 megawatt geothermal project in New Zealand, in addition to the 10 megawatt expansion release to our Bouillant power plant in Guadeloupe, following significant progress we made in obtaining the PPA. In addition, we commenced the development of the 42 megawatt Arrowleaf solar project located adjacent to our Brawley geothermal complex, following the signing of a long-term PPA with San Diego Community Power. In our Energy Storage segment, we released for construction three battery storage facilities, the 35 megawatt/140 megawatt hour Arrowleaf project in California and two projects in Texas that have a combined capacity of 120 megawatt/240 megawatts hour. We expect each of these projects to be operational by the end of 2025, allowing us to take advantage of the recent decline in battery prices. As we look forward, we see the improved economics of our projects, following the recent IRA guidance and the increased demand for our assets. As a result, we are excited to increase our medium-term growth target by approximately 7% to 1.9 gigawatt to 2 gigawatt by year-end 2025, demonstrating our confidence in the company's growth plan. Now, before I provide further updates on operations and future plans, I will turn the call over to Assi to review the financial results. Assi?
Assi Ginzburg: Thank you, Doron. Let me start my review of our financial highlights on Slide 5. Total revenue for the second quarter was $194.8 million, up over 15.2% year-over-year, reflecting substantial growth in our Products segment. Second quarter 2023 total gross profit was $49.5 million. This resulted in gross margin of 25.4%, down from the gross margin of 34.1% in the second quarter of 2022. The reduction in gross margin performance for the quarter is driven by increased Products segment revenue, which is operating historically on lower margin, in addition to lower margin in the Electricity segment. Net income attributable to the company's stockholders was $24.2 million or $0.40 per diluted share in the second quarter. This compares favorably to the results of $11.3 million or $0.20 per diluted share in the same quarter last year. Our solid performance, combined with support from the Inflation Reduction Act, helped drive substantial growth in year-over-year net income and earnings per share. This legislation will continue to have a significant positive impact on bottom-line results going forward. Adjusted EBITDA increased by 0.2% to $100.9 million in the second quarter, compared to $100.7 million in the second quarter of last year. We delivered this year-over-year adjusted EBITDA growth, which overcome lower margin in our Electricity segment and Energy Storage segment compared to a year ago, driven by an observed decline mainly in Energy Storage merchant markets. Breaking the revenue down at a segment level are presented on Slide 6. Electricity segment revenue increased 2.7% to $155.3 million. This increase in the Electricity revenue year-over-year was driven by portfolio expansion at our CD4 and North Valley sites, which successfully came online, and contributed to our revenue in the quarter. This helped overcome lower revenues from Puna due to temporary lower generation and lower energy prices versus last year. In the Products segment, revenue increased by 222% to $33.5 million and represented 17.2% of the consolidated revenues in the second quarter. The year-over-year increase was mainly due to higher backlog. We also saw an improvement in margin capture for the Products segment, driven by the improved contracts that we signed in 2022. And we expect Products segment margin to continue and improve throughout the year. Energy Storage segment revenues were $6 million compared to $7.5 million in the second quarter of 2022. The decrease in Storage segment was driven primarily by lower merchant energy prices in the PJM area. Let's move now to Slide 7. The gross margin for the Electricity segment was 29.6% compared to 36.8% in the same quarter last year. The gross margin reduction was attributed to weaker performance year-over-year at our Puna facility due to lower generation combined with slightly lower energy prices for the period. The step down in gross margin for the segment as compared to the prior-year period was also negatively impacted by the absence of the business interruption insurance proceeds, which helped drive strong margin in last year's second quarter. Excluding these two items, gross margin in Q2 2022 was 32%, not materially different than this quarter. We expect improved performance from our Puna power plant towards the end of the year, following a successful drilling campaign, which should help improve our margin going forward. In the Products segment, gross margin was 10.4% in the quarter, notably higher than the 0.2% gross profit margin performance in the second quarter of last year. As inflation continued to abate and costs as seen through commodity prices continue to normalize, we believe that our Products segment will continue to experience growth and produce strong gross margin performance. The Energy Storage segment recorded a gross margin of 1.9%, an improvement from the negative margin recorded during the first quarter of 2023, but lower than the gross margin reported in the second quarter of last year. Lower merchant energy prices in the East Coast had a significant impact on Energy Storage margin performance. We expect margins to improve as [a lot of] (ph) projects with tolling and capacity agreement will start operation over the next year. Moving to Slide 8. Looking at a consolidated breakdown of adjusted EBITDA results, the Electricity segment generated 97% of Ormat total consolidated adjusted EBITDA in the second quarter. The Storage and Products segment both contributed 1.5% of the company EBITDA during the second quarter. Reconciliation of EBITDA and adjusted EBITDA are provided in the appendix slides. Let's go to Slide 9. Before I move to discuss the balance sheet data, I want to spend a few minutes discussing the impact of ITC and PTC on our P&L this quarter and going forward. We include in our income attributed to the sales tax benefit line in the P&L two types of PTC's credits. The first one is related to PTC sold under equity tax transaction that we signed previously, and the second is transferable PTC related to new assets that are not yet part of tax equity transaction. In the second quarter, we've had five active tax equity transactions, for which we recorded $12.3 million income, while the remaining $2.7 million are related to transferable PTCs from our new geothermal facility that are not yet under tax equity partnerships. The two kinds of the recordable PTCs are included in the adjusted EBITDA. The ITC benefits are equivalent to 30% to 40% of the eligible investments usually in the Storage segment. The ITC benefits are related to our new energy storage facility and are recorded under the income tax provision line in the P&L, hence we can sell them to anyone that needs these credits. In the second quarter, we recorded $9 million ITC benefits in the income tax line related to the four Energy Storage facilities that came online in the quarter. In the next few years, in line with our growth plans to increase our Energy Storage portfolio, we expect to continually report lower tax rate. Looking at Slide 10. Our net debt as of June 30, 2023, was approximately $1.6 billion. Cash and cash equivalents and restricted cash and cash equivalents as of June 30, 2023, was approximately $395 million, compared to $227 million as of December 31, 2022. This slide breaks down the use of cash for the six months, illustrating Ormat's ability to reinvest in the business and service our debt. We note that this use of cash has been funded from equity offering, cash generated by operation and strong liquidity profile we maintain. Our total debt as of June 30 was approximately $2 billion, net of deferred financing costs, and its payment schedule is presented on Slide 29 in the appendix. The average cost of debt of the company stands at 4.13%. Our balance sheet remains strong. And during the second quarter, we paid off [indiscernible] structured loan, which carried a floating interest rate structure, reducing interest rate risk and further setting our balance sheet with nearly all of the remaining debt liabilities in fixed rate forms. Additionally, we saw a material increase in interest income during the quarter as a result of the healthy financial position. Moving to Slide 11. In the first half of 2023, we had invested $247 million in cash CapEx to advance our growth plan. We have $920 million of liquidity between our cash balance and available line of credit. Our total expected CapEx remaining for the two quarters of 2023 include $328 million of capital expenditure, as detailed in Slide 30 in the appendix. Overall, we have strong position in terms of capital sourcing with excellent liquidity and access to additional capital at attractive rates to support our development. On August 2, 2023, our Board of Directors declared, approved, and authorized a payment of quarterly dividend of $0.12 per share to all holders of the company issued outstanding shares of common stock on August 16, 2023, payable on August 30, 2023. In addition, the company expects to pay quarterly dividends of $0.12 per share in the next quarter. That concludes my financial overview. I would like now to turn the call over to Doron to discuss some of our recent developments.
Doron Blachar: Thank you, Assi. Turning to Slide 13 for a look at our Electricity segment operating portfolio. Our generation growth continued to be positively supported by the addition of North Valley and the operation of the Brady Solar facility as they provided 25 megawatt and 6 megawatt of capacity respectively, following the COD which occurred during the period. Our Electricity results were impacted by lower generation and lower prices at Puna, but we still managed to increase revenues year-over-year through strategic expansion to the portfolio in operating assets. Turning to Slide 14 for an update on our backlog. We have seen significant improvement from last year and our backlog now stands at approximately $120 million, with approximately $44 million in contracts signed since the beginning of the year. Moving to Slide 15. The Energy Storage segment was affected by lower merchant energy rates at PJM, as Assi explained earlier. However, four new facilities started operations in the second quarter, which added a combined capacity of 62 megawatt of 62 megawatt hour. In July, we started operation of our Pomona 2, a 20 megawatt/40 megawatt hour facility in California. This will provide ancillary services to the CAISO grid. In addition, we released three new storage projects that will add 155 megawatt/380 megawatt hour in support of 2025 growth targets. Moving to Slide 17 and 18. The overall demand for Electricity and Energy Storage projects remains strong. Combining this with our unique development capabilities, we are well on track to improve our 2025 targets. We increased our target to 1.9 gigawatt to 2 gigawatt capacity portfolio, representing close to 70% growth at the midpoint compared to year-end 2022. This will be achieved through the addition of 230 megawatts to 260 megawatts of geothermal and solar energy power plants compared to 2022 and 512 megawatts to 582 megawatts of Energy Storage capacity demonstrating significant year-over-year growth. Slides 19 and 20 display the geothermal and hybrid solar PV projects currently underway. We released for construction two geothermal projects, the Topp 2 in New Zealand and Bouillante in Guadeloupe, and the Arrowleaf Solar project in the U.S., following a positive progress we have made in the PPA. Slides 21 and 22 highlight the next layer of our growth plan, the Energy Storage deck. As presented on Slide 21, and as I mentioned earlier, we successfully commenced the operation of Andover, Upton, Howell, and Bowling Green projects. Additionally, in July, we commenced operation of -- on Pomona 2 in California. We have today six projects totaling 275 megawatt/740 megawatt hour actively underway, and combined with the current operating assets, our portfolio will exceed the 1 gigawatt hour. Our energy storage pipeline remains robust and stands at 3.3 gigawatt/11.5 gigawatt hour of capacity. Please turn to Slide 23 for a discussion of 2023 guidance. We are reiterating our guidance, which includes full year revenue to range between $823 million and $858 million, representing a 12% to 17% increase year-over-year. Within the Electricity segment, revenues are expected to be between $670 million and $685 million, a 7% increase at the midpoint. We also expect Products revenues to be between $120 million and $135 million, an approximately 79% increase at the midpoint. Storage revenue guidance is $33 million to $38 million for the year, which is also a significant increase year-over-year. Adjusted EBITDA for 2023 is expected to be between $480 million to $510 million, a significant improvement from 2022 throughout the range. I will end our prepared remarks on Slide 27. We are pleased with our results in the first half of 2023 and are satisfied with the progress we have made towards our new growth targets, adding approximately 100 megawatt of new generation capacity and starting construction of approximately 260 megawatt of new capacity. We will continue to be the beneficiary of growing demand for renewable and energy storage, and we expect to continue to benefit from PTC and ITC under the IRA. We look forward to achieving our goal of 1.9 gigawatt to 2 gigawatt by year-end 2025. As always, we remain dedicated to delivering sustainable profitable growth for our shareholders, while also making a positive impact on the environment and the communities where we operate. This concludes our prepared remarks. Now, I would like to open the call for questions.
Operator: Thank you. [Operator Instructions] Your question comes from the line of Noah Kaye with Oppenheimer. Please go ahead.
Noah Kaye: Good morning. Thanks for taking the questions. So, just first on Electricity results, maybe just explain what drove that lower Puna generation? To what extent, was this planned, given you're reiterating the full year Electricity outlook? Just help us understand the cadence of improvement recovery over the back half of the year?
Doron Blachar: Hi, Noah, thank you. It's Doron. In Puna, as you know, we have been continuously in the drilling campaign. Effectively what happened is it drove generation bit low. One of the well reduced its flow rate on one hand, and the other part that impacted the revenues is the pricing. As you know, we have 25 megawatts in Puna that are tied to the avoided costs. Some of us might not remember, but last year, there was a big war between Russia and Ukraine. That is still ongoing, but now it's less in the news. And pricing that time were almost $300 per megawatt hour. Today, they stand at about $200, so that was a big impact. However, we finished drilling [indiscernible] and we are connecting it, it should be connected at the beginning of Q4, and the initial outcome or the initial temperature and pressure that we see are very positive. So, overall, we see that we -- despite the impact on Puna in Q2, that we will be within the guidance that we gave at the beginning of the year.
Noah Kaye: Yes. So, it sounds like, to the extent, there is a real pickup there, it would be in the fourth quarter. Okay. And then, upsizing the year-end '25 portfolio targets, it looks like that's really all driven by higher storage. So, maybe, you can talk a little bit about the drivers of increasing the storage outlook; your thoughts on treasury guidance around ITC for storage and the implications for Ormat; and just what gives you confidence in sort of strong project economics on the storage developments going forward?
Doron Blachar: You are right. We increased the future guidance due to the storage projects that we've already released this quarter and that we expect to continue and release. We see the storage returns today -- very good to see projects return somewhere in the high-single digits and equity return that can get to double digits. The IRA guidance that the IRS issued has improved significantly. The view on the ITC is that Storage can sell. It came out with the guidance that they are for cash only. They can be used three years backwards. So, the value of the ITC went up; you cannot trade with them. They have to be between a seller and a buyer. We do see significant impact and that allowed us to this project. Most of the project that were released today are with 40% ITC. And, that, obviously improved the returns. We also saw in the last quarter the reduction in the battery prices. So, all in all, this quarter between reducing the battery pricing and increasing the ITC allowed us to release more projects. And in reality, the minute we release a project, within a few weeks after that, we should appeal for batteries to confirm or to fix the price that we pay, and that reduces the risk that we have.
Assi Ginzburg: Noah, maybe one more thing. This is Assi. Especially in California, our customers are really scrambling in getting RA contracts. A lot of developers now understand how tough is to get the interconnection. Ormat built over years a pipeline that allow us now to start construction of project, and we actually see RA/tolling prices at even higher level than what we signed with the Bottleneck. And hopefully, Pomona 2 that would just start operating in the next few weeks will sign, I think, the highest tolling that we've seen. Again, it's still under negotiation, but I believe it will be the highest tolling we've seen, significantly higher than the one before.
Noah Kaye: Very helpful. And maybe just one more. I think the industry on the geothermal side has been fairly awash in news around new disruptive drilling and sensing techniques, maybe expanding the addressable market. It sounds like kind of early days here, but very interested in your perspective on some of the innovations happening in the industry. And from a technology development perspective, to what extent Ormat is participating in some of that technology innovation?
Doron Blachar: We are -- Ormat is the leading company in geothermal. So, any new development that will drive geothermal to be widely spread and increase the ability to build more geothermal facilities is a huge upside for Ormat. As you said, most of these items are still in early stage, have not been fully commercially available, but we are watching it very closely. We have specific people today that are looking at different start-ups to make sure that we see this new technology, that we keep it, and if we will be able to utilize it. And I would say, if there would be an ability to have a geothermal energy everywhere, I assume that would have been the only renewable energy because it's a 24/7 energy -- renewable energy. So, we are looking at it very closely. Unfortunately, we haven't seen one that have changed the dial so far, and we hope that there will be one that will come soon.
Noah Kaye: All right. Will stay tuned. Thanks for taking the questions.
Doron Blachar: Thank you.
Operator: Great, thank you. Your next question comes from the line of Justin Clare with ROTH MKM. Please go ahead.
Justin Clare: Yes, good morning. So, I wanted to start on geothermal and you had indicated that you have started construction on 50 megawatt geothermal project in New Zealand. I was wondering if you could just speak a little bit more about your development pipeline. How that's progressing in terms of the other prospects that you're evaluating? And what the potential might be for other projects that could be released for construction and the possibility that those could be completed in, let's say, 2025 timeframe?
Doron Blachar: Hi, thank you for the question. You have on the slide the list of projects that we have already discussed and mentioned. I can tell you that, due to the significant demand that we see in the U.S., we have quite a lot of discussions internally, how we can push forward the projects. The 2025 timeframe, a geothermal project takes longer than 2.5 years to develop if you don't have the resource. So, we are now doing quite a lot of exploration. We have doubled and tripled our exploration efforts, and our exploration team were drilling today between five to seven locations in parallel in order to develop it. And on top of the U.S., we are working quite a lot in Indonesia, where we are drilling in two locations. One of them might get to the end of 2025, but that's not for certain. And we're also looking in other places, in other countries that have geothermal and are looking for the geothermal developer that can develop the projects. At the end of the day, somebody wants renewable energy, which is 24/7, it is only geothermal. So, we are discussing and negotiating in other countries, but this is not yet ready to be discussed.
Justin Clare: Okay, great. That's helpful. And then, maybe just shifting to the Products segment. You indicated you expect Products segment gross margins to improve throughout the year here. I think you had previously talked about a range 15% to 20% in terms of what was possible there. Do you anticipate in getting into that 15% gross margin range for Q3 and Q4? Maybe, you could just speak to the trend you expect there.
Assi Ginzburg: Good morning, Justin. This is Assi. So, yes, we are looking to go towards the 15% to 20% throughout the year. As you know, from last year that at this time, we had basically no margin. Already, in Q2, we had close to 10% margin. And as all the projects going away and the new 2022 signed contracts are kicking in, we should see a better margin because they were signed to improve margin. And I will say that -- I do hope that as we continue to sign contracts in New Zealand and in Turkey, these margins will continue and stay higher than what we saw in the last few years.
Justin Clare: Got it, okay. And then, just one on the Storage. So, you've added more projects here with PPAs in the Storage segment. I was wondering if you could speak to the visibility you might have into the gross margin for that segment. Do you have a better sense for how the margins might trend in Q3 and Q4? I know there is still that merchant component, but maybe you could just speak to the visibility there.
Assi Ginzburg: So, when we look at the Q3, we do see some improvement in energy prices in the ERCOT area. We don't see much improvement in the other two areas that we operate, which is Olkaria and in the PJM. The new contracted PPAs will kick in starting mostly next year, and I do expect to be somewhere between 15% to 25% gross margin. I can tell you that projects that we are signing now, PPAs may have slightly higher gross margin in them. But let's sign those contracts and we'll have more visibility. So, when I look between now and year-end, we will see some improvement because also we have new projects coming in and with base fixed costs in operating the business. But I expect, in late Q1 next year, when the Bottleneck kicks in and Pomona 2 will have the full tolling agreement too, to start seeing pick up in margin. I hope we will get eventually to the 25% margin in Storage with around 50% to 60% of EBITDA margin.
Justin Clare: Okay, very helpful. Thank you.
Operator: All right, thank you for that. It looks like our next question comes from Julien Dumoulin-Smith from Bank of America. Julien, please go ahead.
Cameron Lochridge: Hey, guys, this is actually Cameron Lochridge on for Julien. Good morning. I just wanted to ask first starting on Storage. So, nice to see the 2025 targets getting raised here this quarter. Congrats on that. I wanted to ask, how are we trending -- how does this increase in '25 put us in terms of reaching those 2026 targets that you guys laid out at Investor Day last year? And then, on a related question, I believe I heard earlier in the call, Storage returns in the high single digits. Maybe -- my phone went off, just wanted to hear or just clarify that what you guys were referring to there.
Doron Blachar: Thank you. So, obviously, the more we grow -- the more projects we're bidding online gets us closer and stronger with the guidance we gave on the Analyst Day for 2026. And on the Storage part, it's a permitting process and a connection process, to do that it takes time. And we do expect that the portfolio of the Storage will grow and will be more balanced between merchant projects, RA contracts, and PPA contracts. The profitability will grow going forward on the gross margin as well as in the EBITDA. On the returns, what I said is that we see high-single digit returns on the projects of the Storage. Today, with ITC, this is the range that we see. Obviously, if the project returns are in the high-single digits. If you look on equity return, they are higher than that even in today's interest rate environment. So, you can get to low double digits or very high single digits.
Cameron Lochridge: Got it. Thank you very much for that. Just to put a finer point, it sounds like this '26 target, do you still stand, no changes there?
Doron Blachar: Yes.
Cameron Lochridge: Okay, great. And then, briefly I just wanted to touch on Products. Obviously, strong growth in revenue and backlog year-over-year, but backlog did decline quarter-over-quarter. Just wanted to kind of get a sense for -- how you seeing that trending sequentially here into the back half of the year and kind of what some leading indicators are for that business going forward?
Doron Blachar: On the Products segment, the quarter-over-quarter analysis is complicated because it's a specific date when you sign the contract. So, quarter-over-quarter might be up or down. We are negotiating a few contracts today both in New Zealand and in Turkey, which we hope will be finalized and will be signed in Q3 or by the end of the year. And within these contracts, we expect future backlog to be higher. But, specific quarter, sometimes you sign a little bit later and then it will start in another quarter. So, when we look at the backlog, we usually try to look at the year back, see some trends and from here, it goes up.
Cameron Lochridge: Got it. Okay. Perfect. Thank you all. That'll be all for me.
Doron Blachar: Thank you.
Operator: All right. It looks like we have one more question from Jeff Osborne at TD Cowen. Please go ahead.
Jeff Osborne: Hey, good morning. I might have missed this, but I was just wondering how to think about the monetization of the tax credits, and that flowing through the P&L in the second half of this year, and then, based on the project cadence, how to think about that next year?
Assi Ginzburg: Jeff, good morning. This is Assi. So, currently, when you look at the ITC's credit, those are mostly related to the Storage assets that we bring online. So, if you look at the appendix, you will see the list of Storage projects that we have between now and the remaining of the year. And, basically, you can see that Pomona 2 was the one that came in early Q3. So, we should expect in Q3 the benefits coming from those tax. We're currently booking it at $0.90 per $1.00 of ITC. There are indications that the market is going to $0.95, $.0.96, based on what I alluded earlier. As we look into 2024 on ITC credits, this will be a very positive year for us. We have three projects, as you can see on this slide, East Flemington Storage project, the Bottleneck and the Montague. I think between the three, CapEx is close to $150 million. Bottleneck has 40% ITC. So, we definitely expect next year, if you do the math, over $40 million, $50 million of ITC credit. On a 90% base, you can do the math, it can add significant value to the earnings per share of the company and also provide lot of cash to our business. Moving to the PTCs, as we mentioned, this year, we are expecting to do few tax equity transactions. So, the tax equity income should continue and rise as we bring more and more assets online. When we look at next year, the biggest addition next year will be -- in the U.S., it will be the Beowawe repowering. While it's a 6 megawatt project in the slide, it's actually a repowering of the full plant and it will be roughly equivalent to a 20 megawatt facility that will be entitled to PTC. So, that will add to our PTC value. On the other hand, we do have an historical tax equity transaction that basically will discontinue in the end of this year, because it basically reached almost 10 years of operation and it is contributing around $9 million to $10 million annually to PTCs. So, next year, what we will see is a $10 million reduction in tax equity transaction on one hand. But then, all the projects that kicked in this year plus the Beowawe should at least make up for it. So, year-over-year, we should see flat with slightly up numbers. So, bottom-line, ITC will be extremely significant next year; PTC should be very close year-over-year; and all of it will bring a lot of cash to the company to support our growth.
Jeff Osborne: That's helpful. Maybe just two quick follow-ups. See the legacy $9 million to $10 million, which project is that?
Assi Ginzburg: Forgot. I will come back to you after the call.
Assi Ginzburg: Okay, no worries. And then, maybe the final question is, how should we think about the new energy community map? Quite a bit of Nevada, it's characterized as an energy community, which will give you an extra 10%. So, you mentioned, Doron, that you are accelerating some drilling and testing. Are you specifically targeting energy community areas to try to capture that extra 10%, now that you have a proverbial roadmap on where to go, or not necessarily?
Doron Blachar: Unfortunately, the resource underground doesn't follow the map. So, whenever we see a resource, we will develop it regardless of the 10%. I would say that the PPA pricing of today, that continues to go up, supports geothermal development regardless of this additional 10%, which is a very nice upside. But we're looking to develop geothermal wherever we have.
Jeff Osborne: Thanks. Appreciate the color.
Assi Ginzburg: But we do have assets that are sitting on the 40%, or if you think about the $30 plus PTC. With that being said, the returns are so good. Regardless of that, we will do the project. But we may benefit from it. We may get lucky. We are very surprised of how big part of Nevada is part of the energy community. With respect to Storage, we were very lucky to have many of our Storage assets in the 40% ITC criteria. And the two assets that we released this quarter, which is Bird Dog and Lower Rio are both entitled to 40% in addition to our biggest project right now, which is Bottleneck that's also entitled to 40%. So, it looks like we will benefit from the energy community on top of the expectation that the liquidity of the ITCs and PTCs will be extremely high because of the ability to carry back three years the tax credits versus historical profits of other companies.
Jeff Osborne: Thanks so much. That's all I had.
Operator: Great, thank you. We have another question from Derek Podhaizer from Barclays. Please go ahead.
Derek Podhaizer: Hey, good morning. Just one question from me. You talked about battery prices being an area of relief. Just wanted to get a sense of your long-term outlook. Have these prices structurally stepped down? Or is this temporary and you would expect inflation to creep back in? Just some overall thoughts on battery prices and what do you think about over the next few years?
Doron Blachar: What we've seen in the battery prices is a shift of the suppliers from fixed long-term contracts, where you would order -- you would sign a contract and order the batteries over time to the fact that pricing are getting fixed only when you issue the actual PO. And until that time, the pricing are tied to lithium prices as well as other elements. Lithium prices, I believe, over the last year, year-and-a-half, went up 500%, went down 50%, went up another 200%. I think at the end of the day, it is important to have the right frame agreement with the battery developer and be ready --- we should appeal once the economics of the project are working. It might be that you do not cash the lowest battery pricing, but obviously not the highest. But regardless if the economics of the project work, then that's the time to issue the PO. And once you issue the PO, the prices are fixed. So, that's basically the way we look at it. We do sign frame agreements and we issue the PO simultaneously when we start construction of a project, and by that, lock in the returns that we see.
Derek Podhaizer: Great. Appreciate the color. I'll turn it back.
Operator: Great, thank you. I will now turn the call back over to Doron Blachar for closing remarks.
Doron Blachar: Thank you. Thank you, all. This was a strong quarter and represents our continuous work to grow the business with 37 megawatts of geothermal and solar and 62 megawatts of Energy Storage coming online, and 102 megawatt of geothermal and solar and 155 megawatt/380 megawatt hour of energy projects stored that started construction this quarter. These projects will support our future growth and that allows us to increase our target for the end of 2025. Thank you, everyone.
Operator: Thank you. Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.